Operator: Good morning ladies and gentlemen, and welcome to the Osisko Gold Royalties Q3 2022 Results Conference Call. [Operator Instructions] Please note that this call is being recorded today, November 10, 2022, at 10:00 a.m. Eastern Time. Today on the call, we have Mr. Sandeep Singh, President and Chief Executive Officer; and Mr. Frédéric Ruel, Chief Financial Officer and Vice President, Finance. I now would like to turn the meeting over to your host for today’s call, Mr. Sandeep Singh. [Foreign Language]
Sandeep Singh: Thank you, operator. Good morning, everyone. And thanks for joining us. I know it's a busy period, obviously made busier. There's a transaction in the market today, as well as a [CPI print] [ph], which was fractionally lower than what was expected. It's pretty amazing. We'll qualify. That’s good news, but we will we will take it as there certainly seems to be more glimmers and sparks and positivity in the gold market. So, happy to be talking to you this morning, also talking to you at a time when we're continuing the simplification of our business quite significantly and we'll go through that. Hopefully you've already seen that in the quarter that you're looking at. I am going to be pointing to some slides, not doing a page flip, but pointing to some slides that are on our deck. So, please, if you haven't already, you can go pick up the Q3 results deck on our website. I think to finish off the preamble maybe. Our business, as I said in our press release, our business has never really been stronger. It's doing exactly what it's meant to be doing. It's providing inflation protected gold exposure. Our assets are big. They're getting bigger. Their long life, they're getting longer, they're in fantastic jurisdictions that were partnered with some of the best-in-class, we’re doing exceptional things on our collective behalf. So, the portfolio is doing well, the growth assets are moving forward. In the meantime, we continue to make records, we continue to return capital to shareholders, and we continue to invest in our future. All the while simplifying the company, which is what we've said all along, if there's two things that you've heard me say over and over and over again over the last three years, it's been disciplined and simplification and hopefully you're seeing that in our kind of progress over that time. So, on the deck, I will just jump straight to Slide 4 in terms of the Q4, sorry, the Q3 results, forgive me. And very happy as a non-accountant to be talking to you about deconsolidated financial results for the first time. This is something we pointed to that we would get to. It was just a byproduct of the spinout of Odev that we had to kind of churn our way through, and with the reduction in our share ownership over the course of the year, as well as other fine tuning of our investment rights, we're happy to, kind of draw that line on September 30 and I’m sure you, [indiscernible] financials for Q3, which are significantly cleaner, Frédéric Ruel our CFO will help you interpret them a little bit later on, but hopefully, fairly self-explanatory. I’m happy to have that accounting noise behind us. You've already seen – and I think with many of you, we've already talked about the high level numbers for the quarter. Again, it was a successive quarter of records on all fronts in terms of GEOs delivered to us, revenues and cash margins despite gold and silver prices being down quite significantly over the quarter versus Q2 and records on GEOs despite the gold silver ratio not really working in our favor either with the same silver ounces converting into fewer GEOs at the time, that's kind of since resolved itself. So, happy to have that be the case in Q3, especially as some of our core assets continue to grow and hit their stride hopefully in Q4 and beyond. So, good place to be. That's resulted in adjusted earnings for the quarter, just shy of $26 million or $0.14 a share. And again, as I mentioned, they'll be – Fred will walk you through the numbers a little bit more closely later in the deck. We've been active. We've been perhaps more active than you've seen us. I think we were in the minority at least in terms of saying that in 2020 and 2021, we didn't like the look of a lot of the deal flow that was out there and we were going to be disciplined and we're going to let our organic growth play-out and pick our spots. And now, I think we've certainly been talking about a better pipeline that we like not an infinite one, but a finite pipeline that is better. And we've started to pick away the 1% NSR on Marimaca, very nice addition to the portfolio team. We quite like a large prospective land package. I'll talk to you about it a little bit later. And then more recently, the SolGold transaction and NSR on a truly world-class [copper-gold property] [ph], that term world-class gets thrown around quite a bit in our sector. But I think this is one of the few that it actually qualifies on, and we're pleased to be partnering with that team that we know extremely well. We also closed, it was a little bit long in the [indiscernible]. So, it's not as recent, but we did close the Tintic deal, the Tintic stream. I'm very happy to see that for that land package, that high grade starter, if you will, starting to take shape. That's just a bit of the high level. On Slide 5, you've got a breakdown of the GEOs by asset. We'll pick on some of these individually as we move forward. Starting with Canadian Malartic on six, in terms of our flagship asset, frankly, we couldn't be more pleased with the turn of events that are happening. Both Agnico and Yamana have been doing exceptional work here to unlock value, grow the deposit, the catalyst that they've been talking about and the catalyst that we see in front of us are tremendous. And then more recently, couldn't be happier to see the asset in all likelihood getting consolidated under Agnico as the group that knows that part of the world best in the [indiscernible] has a number of operations and we fully expect kind of 100% banner, they can unlock even more value. That's certainly what they've already indicated without being able to talk about the transaction all that much. But certainly our sense is there's more upside for us. As we talk about the go forward for the asset over the next maybe several months, three to six months, if you just follow the disclosure from the operators, East Goldie is growing and we've some down. We already knew that it was growing to the East down plunge with significant [indiscernible] kilometer plus away, it's now growing in the other direction in, kind of the internal zones. And currently based on the drilling seems to have an extent, a strike length of about 4 kilometers, only 1.5 kilometer and a half of which is in the current resource and as well reaching commentary from the operators suggest that a large component of the inferred resources if I'm looking at Slide 7 will migrate into indicated, as early as year-end. So, [infield drilling] [ph] has gone well. [Indiscernible] grades have exceeded what the resource suggested. We expect the ounces to grow significantly. We expect the conversion of ounces to happen quickly. And we certainly look forward to Agnico having the asset 100% in their company to unlock further value. Jumping to Slide 8, maybe picking up on Mantos and Eagle there, quite happy with the progress at Mantos, it's going in definitely the right direction in Q3. They did average lower throughput. Frankly, probably lower than Q2 or maybe [akin] [ph] to it, I would actually argue a little bit lower. I think they're in the 14,000 ton per day range. 7.3 million tons would be 20,000 tons per day on the full steady state. That was due to some unplanned downtime activities or events, I should say. In October though, the mill operated pretty much right at that. It's not higher than that 20,000 per day level. So that bodes well. They're also talking about the ramp up, kind of being complete by year-end. So Q3, we didn't see that uplift that we were expecting. Again, that bodes well that we were able to have a record year – sorry, a record quarter without Mantos hitting its full stride, and we look forward to that, more of that in Q4 and all of that in 2023. Similarly for Eagle, again, that record didn't have a much additional contribution from Eagle as they're still working their way up to nameplates, making methodical progress, obviously the conveyor belt failure or setback in Q3 was not ideal, but they've resolved it and they're working their way up. So, those ounces for us, whether they flow from one quarter to the next, doesn't obviously have as much impact as for the operator, but we're certainly happy to see some continued progress on both of those, which are core assets for us. And on the Eagle side, whilst that progress is being made on the operational side, really nice catalyst on the upside side of things with Raven coming in at a maiden resource of just over 1 million ounces at 1.7 grams, about 3 grams, sorry, about 2x or 3x the grade of Eagle. Early days, early days in terms of ounce count, we believe, and early days in terms of seeing how that flows into an eventual you know, scenario, a mining scenario, but certainly encouraging that they're now being able to get to some of the exploration upside that we always thought was on that very large land package. I'll jump ahead and certainly we can come back to any and all of the assets perhaps in the Q&A portion, but jumping to Slide 11. Again, you've seen this from us before. We have a significant amount of production now. Our core assets are going to unlock even more production for us. Our producing assets are going to unlock even more production for us in 2023 and beyond. And to that, we'll be adding pretty chunky contributors that are moving forward at a pretty good rate that are well funded, well backed in this market, even in a gold market that wasn't as conducive until this past week or so moving forward. And in the optionality category, some of the best things in the sector we believe that matter and adding things like Cascabel and Marimaca to that I think are only strengthening our longevity. Maybe let's jump to Slide 13 in terms of some of those recent transactions. Touched on a couple. We didn't talk about CSA at the onset. That's one. That is kind of nearing hopefully the finish line. Obviously, a lots happened to the copper market since that deal was announced, but we were backing not only an asset, but a team and have a lot of confidence that that team can get things done on this transaction. So, looking forward to them finalizing their financing plans, obviously, a little bit of that is market dependent or more than a little bit of that is market dependent, but again, it's a strong team and by all accounts, they seem to be getting closer and closer to some positivity on that transaction. So, that'll be good. Tintic we already touched on a number of times, but having the teams sink their teeth into that high grade, ultra-high grade deposit and start to see how it's growing is positive and on Marimaca, we touched on it a little bit earlier as well. Really nice addition, simple, ticks all the boxes. It's a large, very prospective land package. Even since we've acquired the NSR, the resource has grown nearly 2x. Obviously, due diligence, we knew that that was that was coming and we paid for a little bit of that, but really happy with the growth, not only in resources, but also the expectation that there's perhaps a larger production scenario there, which again we were privy to and now so is the market. So, good additions to the portfolio, things that matter, things that get built in or things that operate regardless of commodity cycles, just really good assets to have in the fray.  And to that, on Slide 14 or over the next few slides, we think the addition of the SolGold NSR is tremendous. It is a phenomenal generational asset. I think it's a win-win for us and the company. They obviously were running low from a treasury perspective, but happy to step in there and support them. It's a team that I've known since 2016, 2015 when they made the discovery. Nick Mather as the founder and the [Cornerstone team] [ph] led by Brooke Macdonald, so happy to find a way to reinsert ourselves or reinsert myself into that story and to support it. They've done a tremendous job finding, as I said, something that's world-class, and we still think that there's potential for them to find considerably more. As you maybe skip to Slide 15, might have said it is a generational asset. It's a big company asset. I believe there have been something like 9 or 10 separate investments by BHP and Newcrest tallying up about the [US$250 million] [ph] and got them to their current 13.5% ownership. In the company, the merger with Cornerstone is a very logical step in the progress of that asset and huge upside. When we looked at it, obviously when the PFS, the PFS that's out there, only uses the reserves, that's 20% of the ton. It's the high grade core of the asset. It's amazingly shockingly continuous that high grade core, but that still leaves over 2 billion tons of additional mineralization that once the CapEx is spent and paid for, we think has a part to play in the story, as well as tremendous exploration upside on that large land package. Nick and his team were first movers in country with the Cornerstone folks as well, and they've locked up a lot of tremendous ground. So, we were happy to associate ourselves with that asset. I won't go through the optionality assets. I think you know them from us on 2017, 2018, I think on 2019, you've seen this from us as well. The free upside in our story that's continuing to unfold is tremendous. I don't know anybody else that can say, they had circa $0.5 billion of work done on their ground in one-year alone that other people paid for. So, 25% of our market cap roughly at that point in time. And that's the effort. The outcome on the right hand side of the slide has been also tremendous and we look forward to that continuing with we know already additional ounces at Raven. We know – we certainly expect based on the commentary from Agnico and team that the ounces will grow at Malartic. We don't know what all of that will look like in totality over our portfolio, but we certainly expect the level of work and intensity that our partners are putting into their core assets that we share with them to continue to be high and for our shareholders to benefit from that quite significantly. So, that's just the I guess 20 minute updates of the portfolio, and I will pass it on to Fred who is the, I guess, the star of the show. The accounting is the star of the show today with a much more simpler offering. So Fred, I pass it over to you to finish up.
Frédéric Ruel: Thank you, Sandeep. [Foreign Language] Good morning, everyone. Thank you for joining us today. So, we are very pleased to finally present you with a simpler set of financial statements following the consolidation of a Osisko Development as of September 30. The entire financial statements now present the assets. Results of operations and cash flows of the royalty and streaming business with a single line item in the statements of earnings and cash flow is representing the net results of Osisko Development for the period, being the discontinued operations. The comparative results have also been restated to reflect the deconsolidation. Will have a similar set of financial statements at year-end, but starting October 1, these discontinued operations will only be presented for the comparative figures. Do not hesitate to contact us if you have any questions about our simpler financial statements, and we'll be happy to guide you to them. If we start with Page 21 of the presentation, so we recorded revenues of 53.7 million this quarter, compared to 51.5 million in Q2, and 50 million in Q3 of last year. This translated into cash flows from operations of 51.1 million, which compared to 44 million in Q3 of last year, a 16% increase. On Page 22, net earnings from continuing operations, which, as I said, represented the royalty and streaming business were 28 million or $0.15 per share compared to 23 million or also $0.15 per share in Q3 of last year. Adjusted earnings were almost 26 million or $0.14 per share, compared to 23 million last year or $0.14 per share as well. On Page 23, you have a summary of our quarterly results, including 23,850 GEOs in Q3 of this year, compared to 20,000 GEOs in Q3 of 2021. A gross profit of 35 million, compared to just below 34 million in 2021, and strong cash flows from operations of [51.5 million] [ph] this year, and year to date 126.5 million. On Page 24, we present the breakdown of our cash margin. The cash margin for our royalties reached [34.4 million] [ph]. The cash margin from our Streams was 15.3 million for a quarterly record of 49.3 million or 92%. Year to date, the total cash margin reached 145 million. On Page 25, we showed the progression of the dividends that we have paid to the shareholders since the creation of the company. Our current yield is approximately 1.3%, 1.4% and 215 million have been returned to our shareholders in addition to over $100 million used to repurchase a total of 8.1 million shares under our NCIB programs. And finally, on Page 26, you'll find a summary of our financial position. Our cash balance at the end of Q3 was $300 million. We held investments adding a value of 288 million, including our investment in our Osisko development value that over 200 million. Our debt stood at 200 million. We currently have 750 million available under our credit facility, including the accordion of 200 million that was increased in September. We've also acquired a total of 1.3 million shares in the quarter for 16.5 million for an average acquisition price of $12.77. So, in summary, we've had record deliveries in Q3, as Sandeep mentioned, which allowed us to generate strong cash margins and record operating cash flows. And we expect the next quarter's will continue in that direction. I will now turn the call back to Sandeep for questions.
Sandeep Singh: Oh, yes, over to you, operator. Thanks, Fred.
Operator: Thank you. [Operator Instructions] Your first question comes from Trevor Turnbull from Scotia Bank. Please go ahead.
Trevor Turnbull: Yeah, thanks for taking the question and congratulations on the SolGold deal. It appears to have been a good one judging by some of the comments from their shareholders. I wanted to ask about a couple of the assets that are expected to start contributing soon. I was wondering how quickly do you expect deliveries to ramp up from CSA Cobar in Australia? And then I just wanted to know if you had any update on when we might want to factor in San Antonio? 
Sandeep Singh: Sure. Morning, Trevor. So, yeah, look, I think that was a win-win for both. We're certainly happy to step in. Obviously, the treasury at SolGold was running down, that overhang, was a problem, so we were happy to step in there and assist that company in that asset. As I said, it's one that we know quite well. We've looked at it. We watched it for a long time, developed, and to be quite honest, I think in the last few years, it was probably one of the few that I felt like we might have missed as we were internally focused in 2020, kind of cleaning ourselves up a little bit, but certainly happy to rectify that situation. On CSA, look, I think Trevor, it's, as I've said a number of times, it's contingent on them, on MAC, on the SPAC, including that transaction. The world is different. The copper world is different now than it was in March, although they've been buffered a little bit on that by the Aussie dollar, but we really like that asset. I know we've got a motivated buyer and a motivated seller. So, it's a function of them advancing a pretty complicated transaction with senior lenders, [Marchés Financiers] [ph], ourselves and then ultimately the equity piece. The good news is, I think they're at that, you know, whatever you want to call it, starting line or finishing or finish line, in terms of putting on altogether. So, our hope is they can complete that successfully. And if they do timing wise, you know, that that should be, you know, an early Q1 type event. And obviously, it's in production, so GEOs would start flowing thereafter, but they've got that last hurdle to clear essentially. Go ahead if there's a follow-up to that.
Trevor Turnbull: No, no follow-up. I was just going to remind you about San Antonio.
Sandeep Singh: Yes, no worries. On San Antonio, really the – well, I think you'd know that there's small scale production from the stockpile there, which is, just kind of a – for a here now type event. The bigger catalyst there is the permit for the new, the larger oxide deposit, and then hopefully some sulfide thereafter, but at least initially the oxide deposit. So, that's what [Osisko development] [ph] is waiting for. Is that permit thereafter, I think things can move pretty quickly. It's not a large or complicated mine, it’s not a large complicated development scenario. So, yes, that's the catalyst. When will that happen? I don't know. Mexico has, in all honesty, been tougher from a permitting perspective. Not, really just in terms of time lines and getting people to do things and bureaucrats to sign on dotted line. Our hope is that will come in, in a manner in 2023 where we can start to see some stream ounces in 2023. But I can't quite yet tell you when, but once it does come in, I think things can move pretty quickly thereafter. 
Trevor Turnbull: Great. I appreciate that. Maybe just one other question. If you could give me maybe a little bit of background on Lydian, I know that when they went into creditor protection that you ended up with [Ryan] [ph] with that project. And I just wondered in addition to your original interest there, is there potentially some upside for you if someone comes in and wants to put that into production as a vendor? Is there some potential upside that we should think about from that aspect as well?
Sandeep Singh: Sure. Yes, look, you're right. We did largely ourselves in [Ryan] [ph], kind of take that asset private to protect it for them. The crux of it is the debt for us. It's the stream. The gold and silver stream that we're protecting. One that is sizable for us, and I'd remind you an asset that is somewhere between 70% and 80% built with the potential to roughly do a 250,000 ounces a year for a long time. So, it's a prize. It was important. We protected it. It's been pretty minimal burn for us to do so. And all the while, we've been working on finding the right partner to come in and finish that build at a point where, and improve the situation in country, which I would tell you the team there has done a tremendous job. They've got unfettered access, had it since September, I don't want to say 2020, and have all the permits in place to move. So, just really need the funding partner and the funding/operating partner to finish the job. In terms of, you know, can it be more, I guess, theoretically, yes. It's already pretty sizable for us. I think it's already a healthy size or streaming on the asset. So, we're comfortable with that. I think it's a matter of protecting that asset more than growing it. And if we can reactivate something, you know, chunky that people have written off to zero for us, that's been our objective. We've been working on that, as I said, all the time. Some of it needed some time to heal, if you will, the situation in country and that's happened. The social license has improved dramatically. And I think people are starting to recognize that. Don't know how many people have picked it up, so just to kind of clear the decks for everyone because I have gotten some questions on it. There was a, you know, a UK company, [indiscernible], that put out a press release a couple weeks ago talking about how they were in discussions may not lead to anything, but an example of discussions that are ongoing. And all I can say is, we continue to have those types of discussions and we'll continue to have them until we find the right partner to come in and finish the job for us.
Trevor Turnbull: Okay. I appreciate that. Thanks, Sandeep.
Sandeep Singh: No problem, Trevor. Thank you.
Operator: [Operator Instructions] Presenters, there are no further questions at this time. Please proceed. 
Sandeep Singh: Perfect. Thank you. Again, thanks for your time, busy morning, so let you get back to your days, and a more bullish gold sector out there. So, thanks again. As Fred mentioned, if you do have any follow-up questions for us, please feel free to reach out. Thanks so much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining and ask that you please disconnect your lines. Thank you.